Operator: Ladies and gentlemen, this is the operator. Today's conference is scheduled to begin momentarily. Until that time, your lines will again be placed on hold. We thank you for your patience. Ladies and gentlemen, thank you for standing by and welcome to that Clearway Energy third Quarter 2010 Earnings Call. [Operator Instructions] After the presentation there will be a question-and-answer session and instructions on how to do so will be given at the appropriate time. Thank you, Mr. Chris Sotos, President and CEO of Clearway Energy Sir, you may begin.
Christopher Sotos: Good morning. Let me first thank you for taking the time to join today's call. Joining me this morning is Chad Plotkin, our Chief Financial Officer. Akil Marsh, our Investor Relations Manager and Craig Cornelius President and CEO Clearway Energy Group. Craig will be available for the Q&A portion of our presentation. Before we begin, I'd like to quickly note that today's discussion will contain forward-looking statements which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. Please review the Safe Harbor in today's presentation, as well as the risk factors in our SEC filings. In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to today’s presentation. Turning to Page four for the third quarter of 2020 Clearway achieved CAFD of $171 million for a total of $265 million year to date. These results were within our expected sensitivity ranges. Today, the effects of COVID remain minor with our teams maintaining safe and reliable operations through this difficult time. Clearway is announcing an increase in our quarterly dividend by 1.8% to $0.318 cents per share in the fourth quarter of 2020 and continues to see dividend per share growth at the upper end of our 5% to 8% long-term growth rate through 2021. As I will go into more detail later in this presentation C1 has committed to invest approximately 450 million in new growth during 2020. This is comprised of today's announcement encompassing total growth investments of approximately 108 million or generating 13.8 million of average asset CAFD over five-year period and our previous growth investments totaling $339 million while generated approximately $36 million of average asset CAFD over a 5-year period. In tandem with these accretive acquisitions Clearway has also raise capital efficiently. We raised 24 million in equity during the quarter by the ATM program for a total of 63 million year-to-date. Clearly also refinanced an upsized several non-recourse debt facilities releasing 96 million of new capital available for capital allocation at the corporate level. In addition, all cash trapped to the PG&E situation has been released. As a result we have sufficient capital to fund all of the currently committed investments. With this activity, we are updating our pro forma CAFD for sure view to $71 per share, which supports our target EPS growth and 80%- 85% payout ratio through 2021 at the high end of the growth range as well as already positioning the company for growth beyond 2021. This trajectory factors in the financings and contributions of the committed growth we just discussed and does not include any additional growth opportunities. As it relates to new growth, we continue to advance the opportunity set with Clearway Group, including the formal drop down offer the investment opportunity in partnerships comprising 1.6 gigawatts of projects, comprised of 1.2 gigawatts of new projects and increased interest in Mesquite Star with an expected capital commitment in the range of 230 million to 240 million subject to negotiation by CWEN's Independent Directors. In addition and also working with CEG, we are in the early stages of structuring and additional portfolio opportunity of 1.1 gigawatts with 2021 to 2023 commercial operation dates to anticipate the offer to make a commitment in the first half of 2021. All in all, 2020 has been a very successful growth year for CWEN with sufficient pro forma CAFD growth to achieve the high end of our long-term dividend growth target in 2021. Turning to page five. I want to highlight our execution this year in new investments. In 2020 and has already disclosed, we have closed or committed to invest nearly $340 million of investments representing around 36 million of annual CAFD contribution on a five-year basis. This leads to a CAFD yield of roughly 9.8% with a weighted average life of 13 years contracted excluding the Black Star project at Marsh Landing. And looking at the right side of the page, today, we're announcing additional $108 million of investments with $44 million invested to acquire residual interest in our distributed generation partnerships, as well as the contract associated with these assets. This investment is expected to raise EUR5.3 million of CAFD per CAFD yield of 12.2%. We've also committed to acquire 160 megawatt land for wind farm. Upon commercial completion of repowering expected by the end of this year for $64 million. This asset which is unlevered has been designed around the commercial profile optimized the balanced risk return in the CAFD market and as those less contracted than is typical for projects and approximately 30% hedged over 12 years. Our revenue contract position that is supplemented by contracted stream of reliable PTC PAYGO cash flows. With those factors taken account, we believe the expected $8.5 million in CAFD generation, an unlevered 13.2% CAFD yield make for an attractive investment profile. It takes into account the projects higher merchant position. As you can see in the investments listed on this page, I'll ask you to note our continuing emphasis on accretion, while the CAFD yield these drop downs create from our sponsor are helpful. Their match with the profile of investments which takes into account the upfront cash flow weighted in the case of the distributed generation Partnerships investment and the merchant cash flows of Langford. So as we move to the future drop down structure discussed on the next page, I would suggest yields on this structure will be more aligned with what we have executed in the past for similar type of assets while still providing for meaningful accretion on a highly diversified portfolio. Turning to page six. I want to provide a high level overview of our CAFD outlook that Chad will have more detail in his part of the presentation. We are announcing 2021 guidance of $325 million resulting in a $61 CAFD per share an update to our current pro forma CAFD outlook to $345 million, leading to CAFD per share of $71. These numbers do not include the drops opportunity for the new partnership investments as listed on the right side of the page, the strapped opportunity is well diversified comprising six new assets as well as increased ownership in Mesquite Star with a greater than 14 year CAFD weighted average contract life also further diversifies Clearway Energy in the storage with 395MW, 1,580-megawatt hours of collocated storage in Hawaii and California. As we indicated on our last call, all goes to provide more transparency to our shareholders regarding the capital needs of the business. As such, we anticipate subject to the and pent Directors and investment required for this portfolio of between $230 and $240 million. As mentioned on the last slide, given the structure and asset mix overall, we would anticipate the yields on this investment to be commensurate to the risk adjusted profile of the substantial and diversified portfolio we're still working through the structure and other terms of conditions of the transaction with our CEG colleagues. I want to emphasize that while our ownership percentage will be approximately 50% for most of the assets this is not a financing structure and tend to provide capital C1. Rather and working with CEG as our anticipated partner, we are focused on optimizing ownership in these assets that allows for appropriate returns for C1 as well as an accretive yield on a diversified contracted basis, we're also allowing CEG to develop more assets at their target investment returns. When concluded these assets will contribute beyond the dollars to one CAFD per share pro forma outlook this partnership platform, we intend to continue to utilize in the future and as such will be followed by additional 1.1-gigawatt portfolio offer in the first half of 2021. Clearway Energy, we are excited about this new structure on us to continue our growth trajectory at attractive accretive and further de CAFD yields. With that I will turn the session over to Chad, Chad.
Chad Plotkin: Thank you, Chris. And turning to slide eight for the third quarter Clearway is reporting adjusted EBITDA of $312 million and cash available for distribution or CAFD of $171 million. Clearway has now realized $853 million of adjusted EBITDA and $265 million of CAFD year-to-date. During the quarter, the company benefited from strong availability at the Conventional segment as our California-based gas plants performed exceptionally well during the key summer months. This was especially evident during the extreme heat wave across the West Coast where our California plants demonstrated their value as critical reliability resources in the state. While the conventional performance in the quarter was a welcome response to the challenging West Coast weather conditions, the company's renewable portfolio did not benefit from the environmental and weather related events. As noted in the appendix section of the presentation. The solar projects were especially challenged as the fires. On the West Coast resulted in soybean and weaker Radian's if we need to production below. 95% of expectations between August and September. Additionally, wind production during the quarter across the portfolio, we've got 92% of expectations as strong results in August were offset by a weaker July and September. As a company, we continue to closely monitor the business impacts related to the COVID-19 pandemic. Consistent with what we indicated last quarter, the Company's projects have maintain safe and reliable operations, but we have observed a reduction in volumetric sales at the Thermal segment which continued into the third quarter. Though this impact is not material from a consolidated company perspective, we do currently anticipate the volumetric degradation to continue into next year, which I will discuss momentarily when walking through forward financial expectations. Lastly, and providing an offset to these items CAFD results in the quarter were favorably impacted by the timing of project level debt service due to the recent refinancing. Overall, while CAFD performance year-to-date is moderately below expectations since results are within the company sensitivity ranges, we are maintaining CAFD guidance of $310 million. Now moving to capital formation, inclusive of the DG Partnerships HoldCo refinancing completed this week. The company raised $96 million in new corporate capital through the upsizing of several non-recourse financing, at an effective weighted average interest cost of 3.3%. Additionally, we continue to prudently utilized the ATM programing having raised an additional $24 million during the quarter. This brings total equity capital raise under the program year-to-date to $63 million. With the release of the $168 million and trapped PG&E project related distributions, and a $75 million previously raised through the residential solar portfolio sale in May, that was used to acquire the remaining interest in repowering 1.0, the company is also well positioned from a cash perspective. With these combined resources and the fact that the Company's corporate revolver is completely undrawn, Clearway is essentially fully capitalized to accretively fund all committed growth that has made year-to-date, while also preserving significant flexibility for new growth. As such, there is no requirement for any incremental new permanent capital, except for new growth, including the most recent drop down offer of the partnership investment opportunity. Turning to slide nine to discuss the Company's updated pro forma CAFD outlook in 2021 expectations in order to aid and understanding the various moves in our CAFD expectations, we provide a bridge commencing with our prior pro forma CAFD outlook of $340 million. First, due to the refinancing and upsizing of the non-recourse project debt facilities that provided $96 million in additional capital, CAFD has reduced by approximately $9 million due to additional principal and interest from these transactions. Next, we are in the $22 million of new asset level CAFD from recent growth investments that were otherwise excluded from the prior pro forma outlook, this contribution is based on the expected five-year average CAFD profiles for these projects and include Mesquite Star in today's announcement of Langford win and the remaining interest in the DG Partnerships. Next, while the company has had success in the identification of additional operational improvements. We are now factoring in around a $6 million budgetary -- impact that will reduce annual CAFD expectations. This relates to increased cost associated with our overall insurance program and adjustments relative to support services under the MSA with Clearway Group and other back-office requirements. Additionally, and consistent with the approach we have communicated to you around budgeting for renewable energy production. We are factored into our statistical modeling additional historical data, which had a modest effect on expected P50 median production estimates across the portfolio. With these changes, we are raising our pro forma CAFD outlook to an approximate $345 million or an amount that continues to be supportive of our ability to deliver on dividend growth within our payout ratio targets. Moving to 2021 expectations, because our conveyance of our pro forma CAFD outlook is based on the five-year average asset CAFD profile for new investments. Current year results will be affected by the timing of when a project reaches COD and the shape of the project cash flow profile. In this regard, we anticipate a $17 million timing in 2021 related to the company's growth investments. Lastly, while we believe these are all temporary variances. We do foresee further impact in 2021 of approximately $5 million due to COVID-19 related matters. This includes lower volumes at the Thermal segment and the impact from California State taxes resulting from Assembly Bill 85 that was enacted at the end of June which suspended the Company's ability to utilize state net operating losses for the next three years. With these adjustments Clearway of initiating 2021 CAFD guidance of $325 million. As noted CAFD guidance in the Company's pro forma outlook are based on P50 renewable production expectations for the full year. Importantly it's also only factors in the committed and funded growth year-to-date providing for additional upside to expectations upon the execution of new transactions such as the 1.6 gigawatt partnership investments. And with that, I'll turn the call back to Chris for closing remarks.
Christopher Sotos: Thank you, Chad. Turning to page 11. I wanted to take a moment not Tervita list of what we have executed in 2020, but rather to provide an overview as to what we as a company are focused on, first after coming out of the PG&E situation as we had indicated, we have resumed increasing the dividend. One, with long-term targets, while maintaining our credit metrics and providing CAFD within our sensitivity ranges. Second, it executed on a variety of growth investments to further diversify our portfolio and accretive assets that serve the drive our CAFD per share to a level that will support ongoing dividend growth within our payout ratio objectives. Third, we are working closely with our CEG colleagues to create an investment structure with equity partners who will provide a structure that emphasizes diversified contracted assets at accretive CAFD yields, but also increases the transparency around the capital required. We also believe that this will allow us to establish a more consistent timeframe of drop-down expectations in the future. All this leads to an updated pro forma CAFD of $345 million or more importantly a $71 per share, which supports our long-term dividend growth rate at the high end of our targeted range for 2021 as well as drill beyond 2021. Thank you. Operator, please open the lines for questions.
Operator: Thank you, sir. [Operator Instructions]. Our first question comes from the line of Julien Dumoulin Smith from Bank of America. Your line is open.
Julien Dumoulin Smith: Hi, I am stepping in for Julien so I am just, Hey, morning. Sir, just wanted to ask given the scarcity situation in California, Could you talk about how you expect resource adequacy prices to trend, and also is there potential to lock in longer tenors when you recontracted through thermal assets.
Christopher Sotos: Oh sure this is Chris Sotos. I think in terms of the pricing obviously we'll have to see kind of where it turns out, but I definitely think what we saw in California would lead to higher pricing for resource adequacy. I also think the probability of being able to contract for a longer tenure is higher but I think as I've said consistently throughout the years and I think also in our last quarter, I think that pace is going to really pick up in 2021 in terms of discussions around, recontracting. So I would not say there is any really new information since the last quarter we talked by doing think obviously what's occurred is helpful for pricing and also for contracts.
Julien Dumoulin Smith: Okay, great. And then also could I ask about just on CAFD yields and the latest announcements too, kind of put out there to go with projects have had pretty high CAFD yields. How should we think about just future growth projects that you announced in terms of CAFD yields, how much opportunity is there to maintain rates kind of levels?
Christopher Sotos: So, I think these levels are difficult and I tried to address in my comments some of it is due to Langford. Obviously having less hedged position than typical even though with the structure obviously contracted cash flows and so from our view and looking at the latest dropdown offer that we are working with our CEG colleagues and an equity partner on, that's about a 14 year, we had average CAFD life for contracts. So I don't think that type of CAFD level will be achievable. I think if you look back in our history, you've seen kind of things, let's say, in the 9th in terms of CAFD yield. Once again, don't want to negotiate here on the phone. But I think that type of range probably is more probable than the ranges that you see in the latest drop downs that we announced today.
Julien Dumoulin Smith: Okay, great. Thank you.
Christopher Sotos: Sure.
Operator: Our next question comes from the line of Angie Storozynski from Seaport Global. Your line is open.
Angie Storozynski: Good morning. So I just as a follow-up to this question that we just heard. So I understand that you're saying that this new partnership with CEG is not a financing partnerships, but you will be presented accepting some additional development and/or construction risk. So can you at least tell us if there would be some incremental CAFD versus third-party acquisition or acquisitions of both operating projects that would be basically paying for that incremental risk that you're assuming?
Chad Plotkin: Sure. Just to make sure we're clear. There isn't any incremental risk. We're not taking development risk. These are projects that are through the development cycle. So just to make sure we're all clear. That's not and the partnership also is going to be with the third-party. Our long-term owner. Obviously, CEG is the current developer who is kind of all three of us are working together to finalize that partnership. So I think, CEG is still acting as developer and operator similar to drop downs, we've had before. So just for clarity.
Angie Storozynski: But there are some projects, right, I mean if I understand correctly okay even if they're fully developed, you would be providing financing for some of them before they start commercial operations, right. So, at the very least you would be assuming some construction risk?
Chad Plotkin: No, we really deploy capital at COD, acquisition operation date. So I don't think it'd be any different than what we've done historically.
Angie Storozynski: Okay. I understand. Now moving on, you said that you've adjusted some of your expectations of regarding renewable power production volumes basically reflect the last five years of data. Now it looks like we're going to have La Nina continuing into next year. Is that something that could materially impact your especially wind production levels in 2021?
Christopher Sotos: Chad on that.
Chad Plotkin: So yes, Angie maybe to take this in two steps. So I think one of the things that we've done consistently that we talked about just on the first point is, just as a matter of sort of prudency as we collect more historical data. We rolled out through our modeling and in some instances it increases expected P50 and project in some instances can reduce it. I would say in the total given the dollars we're not talking about material moves overall, but we're just always trying to be honest with how we evaluate that. I think on the La Nina media piece look, I'm not going to venture to guess exactly how weather will do I think I've seen some data points that suggests that you could have stronger production through the course of next year as a result of it, but I think from our perspective, I'd like to kind of see what shows up relative to expectations. But, and then how that is disbursed geographically as well.
Angie Storozynski: Okay, thank you. And last question on the lower thermal units that you said that that we have could persist through 21 or into 21. I mean, just can you give us an example? Is it just some of these projects support hotels or something like that and hence, there is some sensitivity to volumes.
Chad Plotkin: Precisely Angie, in our San Francisco operations that tends to be more volumetric and I'm sure as everyone the funds aware of hotel occupancy in San Francisco is lower due to COVID, so it is exactly that definitely.
Angie Storozynski: Great, thank you.
Operator: Our next question comes from the line of David Fleishman from Goldman Sachs. Your line is open.
David Fleishman: Hey, good morning. All right. Just I was hoping you could maybe provide a little bit more color just on the $17 million of timing related to the growth investments, when we think about the bridge from your pro forma to 2021. And really just how it compares to the 5-year CAFD, is it fair to kind of think the pro forma is kind of using almost again year three average and it's a little bit below and then it becomes a little bit above your smart five or is it just something with kind of more the first year of operation were you guys take a little bit more conservative approach.
Christopher Sotos: Chad, you want to go ahead?
Chad Plotkin: Yes, David. It's a good question. I think if you look at the appendix slide, page 17 we've tried to show that bridge on most of that has picked up over the next two years. So you are correct, like, if I look at it on a 5-year average basis you may have a pickup in a couple of years that are a little bit higher versus the next couple of years like in 24 to 25 at major slope down a little bit. Most of the delta, especially for this year as you move into 2022 you have a lot to do with expected the timing of expected COD days and the Christmas point and we want to provide the number relative to how we've looked at underwriting the investment, but importantly our capital outlay doesn't occur until we get to the COD date. So it is important to remember that our capital is not exposed until that point either and I think the big driver on this one would be in our growth profile. A lot of that is related to the timing of Pinnacle, just given what we've seen in the observation of construction timelines. We're looking at a second half in-service date, which is obviously delayed some of our original expectations as well.
David Fleishman: Okay, thank you. That makes a lot of sense. And then just a couple of other quick questions on the line for the project. I think I heard in the earlier prepared remarks that the 65% that isn't contracted under 12 year PPAs that's related to pay go financing. I just wanted to maybe clarify how that works. Is that just you receive a portion of the value of the production tax credit [indiscernible] from a tax equity investor.
Chad Plotkin: Yes, but to be a little bit more precise. The 65% on the revenue. So you can think about basically was too cash flows, obviously. Revenue from the asset about which 35% is hedged, 65% is open, and then also the PAYGO, which obviously is contracted from a cash perspective, but obviously subject to P50 risk in terms of production. So when we look at combined basis the contracted cash flows are subject to hitting the P50 the PTC, the payroll structure and then also 35% of revenue with about 65% of revenue being open, not necessarily just PTC or bigger.
David Fleishman: Okay, understood, and then my last kind of just CAFD shaping question in prior PowerPoints used to have a slide related to distributed generation and how the CAFD trajectory changes over time. As part of the partnership that you acquired, did you effectively take out maybe the tax equity component that was reducing it over time, or is that still kind of a structure where there's kind of five-year step changes.
Chad Plotkin: You should still expect a step change to be fair, we did not take out the tax equity.
David Fleishman: Okay, thank you. I appreciate the time.
Chad Plotkin: Sure. Great. Thank you, David.
Operator: Our next question comes from the line of Colin Rusch from Oppenheimer, your line is open.
Colin Rusch: Thanks so much guys. Now, as we see increased amounts of liquidity in the market and availability of capital pretty widespread. Are you seeing any change in dynamics in terms of the competitive landscape, both at the development level or at the project acquisition level.
Christopher Sotos: The project acquisition level. I think there, we are seeing tightness in terms of CAFD yields. I think, once again, as an all things when you kind of you to look for the right intersection of where we can bid and add value to kind of really maintain our accretion. But I do think given from current capital markets liquidity, you probably are seeing tightness in terms of where 3rd-party assets are trading. Chad, if you don't mind addressing the development side
Chad Plotkin: Yes, hi, Colin. I think for some parties tax equity available clearly is an issue. We've observed that among some competitors needing to elect to move projects out in time or otherwise be challenged in their tax equity financing options. We've been pleased to be in the circumstances where every project we intend to take into construction, including those that you've seen cited in these partnership investment opportunities have been able to secure tax equity commitments from interested investors and we're finding that there is some preference for quality in terms of sponsorship and project composition, which we benefit from in a market where there is some scarcity in terms of tax equity. In terms of construction debt and term debt, the markets remain clearly as robust as we've ever seen them both in terms of demand and the cost of financing that we're able to secure that helps us in terms of being able to propel further developing growth and also to be able to offer truly attractive investment profiles for the cash equity interests that show up in C1. On project M&A, I think what we've seen is a desire on the part of smaller developers from whom we might buy pre-construction assets to see the election outcome play out. And what that might mean for timelines, they need to develop in. And fortunately, we've engaged selectively in some situations like that and have also been able to propel growth in our organic development pipeline, which the disclosures indicate actually grew substantially in the prior quarter, so whether project M&A is available to our, to us or not. We actually feel quite confident about the ability to deliver a pipeline that will support a 5-day 8% dividend per share growth.
Colin Rusch: Great. And then just I mean you're looking at how the industry in that's for the lower-cost capital at really low cost batteries like really low cost batteries being available. Are you guys seeing the different type of opportunity in terms of increased distributed assets different sorts of configurations and ability to serve load with the newer technologies that are available. As you look at the development opportunity and is there an opportunity for some increased spread capture to emerge as you guys are probably a little bit more comfortable with some of those technologies and other firms.
Chad Plotkin: Would you like me to take that one to Chris?
Christopher Sotos: Yes, please.
Chad Plotkin: Okay. Yes, I think right now Colin, our focus is more on central station storage solutions then behind the meter on site storage solutions commensurate with the pipeline and that we're developing. In our operating assets. We do have smaller scale distributed solar projects being deployed. Some of them on to markets like Massachusetts that are paired with storage, but most of our focus on storage is in the combination of new construction projects like those you see cited in the 1.6 gigawatt partnership investment opportunity where in the case of the Daggett Solar Project. We will be building more storage at a single solar site, than I think has actually been deployed before this year in CAISO and projects like that in the future as well as opportunities for hybridization or retrofitting of solar and storage into our existing operating fleet including wind projects and some of that same value capture you're citing is achievable in essentially interconnected storage resources as well whether there is a stand-alone storage ITC or and need to pair storage with solar, we're bullish the opportunity to deploy in that kind of format at some scale foreseeable in the future.
Operator: [Operator Instructions] There are no further questions at this time, please continue.
Christopher Sotos: Well, thank you everyone for attending and I look forward to talking in February. Everyone stay safe. Thank you.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for participating. You may now disconnect.